Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to ImmunoPrecise Antibodies Fiscal Year 2022 Second Quarter Earnings Results and Business Highlights Call. At this time, all participants are in a listen-only mode. Following the presentation, we will answer pre-submitted questions.  I would like to remind everyone that this conference call is being recorded today, December 13th at 4:30 Eastern Time. I’ll now turn the call over to Chris Chu. Mr. Chew, please go ahead.
Chris Chu: Thank you and welcome. Dr. Jennifer Bath, President and Chief Executive Officer of ImmunoPrecise; and Ms. Lisa Helbling, Chief Financial Officer will be the speakers on today’s call. A Q&A period answering pre-submitted questions will follow their summary of the quarter followed by closing remarks. Before Dr. Bath begins, I have been asked by ImmunoPrecise to read the following Safe Harbor regarding forward-looking statements. I would like to remind everyone that ImmunoPrecise remarks today contain forward-looking statements about its current and future plans, expectations and intentions, results, levels of activity, performance, goals or achievements or other future events or developments. In preparing these forward-looking statements, several assumptions were made by ImmunoPrecise and there are risks that results actually -- with actually obtained by the company will differ materially from those statements. As a consequence, the company cannot guarantee that any forward-looking statement will materialize and you are cautioned not to place undue reliance on them. ImmunoPrecise refers current and potential investors to the forward-looking statements and information section of its Management Discussion and Analysis issued today at www.sedar.com and on EDGAR at www.sec.gov. Forward-looking statements represent ImmunoPrecise’s expectations as of December 13, 2021. Except as maybe required by securities laws, ImmunoPrecise does not undertake any obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. I would now like to turn the conference over to Dr. Bath.
Dr. Jennifer Bath: Thank you, Chris. This reporting period and year-to-date have been inspiring and energy filled for IPA. As awareness continues to grow about the power of our technologies for building translatable and sustainable biotherapeutics in an industry, excuse me, in an industry that to a degree has been transformed as a direct result of the COVID pandemic. Subsequently, a bright light has been cast onto our industry, and as a result, many eyes are on IPA scientific and technological capabilities, as the world awaken to a new reality in the COVID pandemic. This reality has aided the general public in understanding the importance of life saving antibody therapeutics and has catalyzed tremendous change in regulatory, clinical and commercial industries. We open with this backdrop as the threat of Omicron is settling on the world’s doorstep. Only days ago, it was reported that Omicron COVID-19 cases in the U.S. have been for the most part relatively mild. However, it is now clear that thus far close to 80% of the cases were in people who were fully vaccinated and over 40% of those individuals had received a booster dose. In the meantime, the media has been flooded with reports of probable and/or potential loss of both vaccine and therapeutic antibody efficacy, regarding products from companies such as Pfizer where the Sheba Medical Center in Israel reported that the neutralizing ability of these even three Pfizer shots is 4 times less effective against Omicron than Delta. And regarding Eli Lilly were independent researchers at the Fred Hutchinson Cancer Research Center concluded that their dual antibody combo had decreased protection against Omicron. Further, there was a statement released from Regeneron with similar conclusions about its dual antibody treatment, noting that earlier in vitro studies and structural modeling indicate that Omicron -- the Omicron variant may resist both of their antibodies. As we have stated since the emergence of SARS-CoV-2 we anticipated the selective pressures of these human immune system, including those induced by vaccination, as well as limited path of therapy regime. We specified that our belief that many of these vaccines and therapies would lose efficacy over time, due to the continued incorporation of mutations into the SARS-CoV-2 genome. Likely everyone on this call understands that IPA’s PolyTope was specifically designed to retain relevancy and efficacy against emerging in SARS-CoV-2 variants and to-date it has accomplished this. Yes, it was a heavy scientific lift, but by targeting numerous non-overlapping epitope and engaging varied mechanisms of action and synergistic activity, we believe our cocktail is much less at risk to escape mutations. This has thus far borne true when testing all variants of concern, as well as variants of interest. In fact, it’s possible that PolyTope is the only first generation anti-SARS-CoV-2 therapeutic to retain efficacy against all variants of concern to-date. Based on in silico sequence and structural analysis, we anticipate that IPA’s PolyTope will retain activity against the highly mutated Omicron variant, as well. As we have observed in in vitro models with all other variants of concern identified previously. Given the significant potential health crisis resulting from the emergence of Omicron, IPA is conducting in vitro studies to empirically evaluate the binding and neutralization of PolyTopes against Omicron. Initial data from these studies is anticipated by mid-January. Well, COVID-19 is only one disease of many that ImmunoPrecise and Talem tackle with our leading edge technologies, it is representative of the scientific insight and rigor that now defines our company, showcasing technologies that have helped lead our industry by producing a high profiliable -- profile, sustainable therapy, which requires a level of antibody sequence and functional diversity that most companies large and small did not readily produce in their products. Equally important, the ongoing pandemic has led to transformation and opportunity in the industry, with new paths, partnerships and opportunities arising for IPA and Talem as a result. To illustrate this point, on December 3rd, The Wall Street Journal published an article calling attention to the importance of scientific advances as a result of innovations that occurred, while the industry raced to develop technology platforms to tackle COVID. The article went on to indicate that the same science powering the COVID vaccine development is ceding real hope in the treatment of other infectious diseases and even cancer and MS. It was the opinion of the author that the national dispute over vaccine had build an even more important part of that story, which is the sheer magnitude and promise of messenger RNA technology and the enormous potential for medical applications, which is expected to extend far beyond COVID. We concur at IPA based on our experience, as we have continued to take advantage of opportunities for collaborations and technology expansions during this time. Our leading discovery platforms utilizing diverse animal repertoires and cutting edge technologies offer unique benefits that can be leveraged far beyond infectious disease. And since these technologies serve as a cornerstone for both our CRO and also our Talem pipeline development, they enable not only our continued organic revenue growth, but our ongoing expansion into new categories of partnership. We clearly continue growing as a preferred partner for research companies as we rapidly expand our commitment to R&D initiatives through both internal development and selective partnerships. We’ve begun to expand those partnership opportunities into some of the same new sector diversification targeted by our CRO and our negotiating partnerships to leverage unique RNA technologies for therapeutic antibody assets. With companies focused on shifting attention to novel therapies based on recent regulatory approvals and possibly less hindered patent landscape. IPA is poised to meet these partnering needs with management expertise in nucleic acid design, manufacturing and delivery, and collaborative efforts over the past few quarters focusing on potential -- the potential use and delivery methods to enable more rapid production and improve delivery routes for therapeutics. We’re happy to announce we continue to grow and serving the top 20 biopharmaceutical companies across the globe. In the quarter, we initiated the first antibody discovery projects for two additional top 20 companies, which we had not previously served. Further to support the growth initiatives at our Canada and Netherlands sites, we’ve hired two new research technicians and a project team leader at the IPA Europe site in Oss and a new laboratory assistant and protein expression scientist at the IPA Canada site in Victoria. For the end of this quarter, IPA Canada began the renovation and expansion of its animal care facility. Expansion in the facility will double our current barbarian footprint and increase our capacity to house both wild type and transgenic animals used for both our CRO operations and our Talem asset development. The renovations will also increase the facility’s compliance with The Canadian Council on Animal Care Guidelines and The Public Health Agency of Canada Biosafety Level 2 Regulations. The estimated completion date for the facility is early in IPA’s fourth fiscal year quarter. The ongoing renovations will not cause disruption to any of aspects of IPA’s business. As mentioned before, a major shift in marketing activities has taken place at IPA as a result of the pandemic. Many of the annual conferences that we would normally attend in-person had been held completely virtually. IPA’s Client Relations team attended the first in-person conferences since the beginning of 2020 in the month of September and October. Further in-person conferences have been scheduled for the third quarter of the fiscal year. IPA’s new marketing framework has been designed to support rapid growth and targeted commercialization opportunities and is now securely in place. Both marketing initiatives have been developed with a sense of urgency in order to gain a competitive edge. But with a stepwise phased approach, where the planning resource allocation and assessing investments and measuring performance has been taking place at a return. Brand architecture and revitalization is underway to ensure that we are positioned to compete and win new business, which will be evaluated for effectiveness each quarter. Other elements of the Q2 marketing strategy included development of an IPA Master Marketing and Commercialization plan, taking the lead on the Multi-Channel Co-Marketing Campaign entitled Challenge Us together with Eurofin and an Antibody Engineering Conference in San Diego this week. Maintaining a scientific content calendar in order to fuel sales and marketing events and a new AI-powered database with lead generation software that enables us to grow into the future with data driven insights and real-time performance metrics tied to our CRM. Additionally, planning is underway to host an Antibody Summit in May of next year at the Protein Engineering & Cell Therapy Summit, which is held annually in Boston. On October 7th, Talem announced a multiyear multi-target antibody discovery research collaboration with Pierre Fabre, the second largest private French pharmaceutical group. Together we aim to discover and develop therapeutic antibody for up to nine different targets. This strategic collaboration is expected to help expand Talem’s portfolio of novel antibodies across oncology. It also adds to the variety of diverse relationships that the IPA group of companies holds across the pharmaceutical and biotechnology sector. The antibodies developed through this research collaboration against selected targets will be jointly owned by Talem and Pierre Fabre. And following the completion of each target specific research program, Pierre Fabre will have the option to obtain an exclusive worldwide license to Talem’s interest in those jointly discovered antibody. In turn, Talem would be eligible to receive certain upfront and contingent downstream payments. In addition, if licensed, Pierre Fabre will be responsible for the preclinical and clinical development, as well as the commercialization of jointly discovered antibodies. This past quarter, two new experts were also hired to support partnering related activities, including a scientific writer and a non-clinical study director. Both hires will further support advancements of our internal programs, in addition to assisting with the identification and evaluation of new targets. Although, some of our Talem programs are slightly delayed due to a recent COVID related disruption in the supply of materials and reagents, we are happy to share that we are finalizing the high throughput functional characterization of our TATX-112 program in oncology and neurodegenerative disease and our TATX-21program in cardiovascular disease to select the best performing clones for anticipated mode of action. For TATX-112, we are currently performing in vitro proof-of-concept studies for antibody drug conjugates that are known as ADC approaches. Regarding our collaborative program with Twist, TATX-115, with a potential use in oncology, we are subjecting our target finders to functional analysis as we seek to nominate the lead candidates. As the intended clinical approach relies on two different mode mechanisms, we aim for transferring two categories of leads to Twist or full optimization to develop clinically fit antibody therapeutics. As announced just before the start of the year, we have joined the COVABELP consortium along with two Dutch academic partners, The Radboud University Medical Center and The Eindhoven University of Technology. This opportunity is yet another example of how we have identified new capabilities and strengths, and enriched additional infrastructure at IPA, while supporting the fight against COVID. This consortium is focused on the development of a SARS-CoV-2 specific therapeutic nanomedicine delivered intranasally, leveraging the expertise of our partners in VHH antibodies, which are the smallest naturally occurring antigen binding fragments, they have successfully integrated our VHHs targeting the SARS-CoV-2 spike protein into nanoparticles. We have now confirmed that the initial research batches of SARS-CoV-2 targeting VHH nanoparticles do in fact bind by tremor. Apart from the ability to deliver nanoparticles directly to the lungs, this approach is anticipated to induce virus aggregation and subsequent virus clearance by the host immune system. As this approach relies on other mechanism of action compared to compounds directly interfering with host cell infection by the virus, its sustainability might be significantly higher by selecting antibody fragments, targeting more conserved epitopes. It is also believed that the virus aggregates somewhat simultaneously to generate an immune response, leading to patient immunity in parallel to viral clearance, potentially leading to a treatment and a vaccine in one product. Talem is currently working on several distinct programs, some of which have been mentioned already in this call. Notably; TATX-03, our PolyTope antibody cocktail; TATX-112, our antibody panel for applications and oncology in neurodegenerative disease; and TATX-21, our antibody panel for use in cardiovascular disease. Other programs include, TATX-114 for oncology, inflammatory and autoimmune diseases and TATX-115, 116, 22 and 24 for oncology, as well as TATX-20 for solid tumors. Through Talem, our more advanced programs -- one of our more advanced program, TATX-112 for oncology in neurodegenerative disease and also TATX-21 for cardiovascular disease are now entering the stage of in vitro proof-of-concept verification. For TATX-112, we have prioritized around one dozen antibodies for a particular functional screening that will help us identify the ideal assets for ADC based therapies. While a separate high throughput functional study confirms that around 50% of the lead candidates are able to strongly activate the target, which was our desired outcome. For TATX-112 over 15 lead candidates will be analyzed for their ability to interfere with LDL uptake by endothelial cells, a crucial step in atherosclerotic plaque formation. The earlier stage programs, 114, 116, 20, 22 and 24, with specifically selected antibody pools are now at different high throughput steps of lead selection. Our scientific team is applying appropriate functional assays for the anticipated diverse clinical approach of each program. Talem has also entered into a research collaboration with an as of yet undisclosed biopharmaceutical company to assess the potential suitability of three non-neutralizing COVID-19 antibodies in combination with an antibody drug conjugates. Results of this research are governed by an MTA and are expected in the next couple of weeks. Talem remains active in its partnering activities for its internal assets, mainly TATX-03, 112 and 21. In recent meetings, we’ve continued to engage numerous parties and varying degrees of discussion and negotiation regarding the partnership transfer and/or out licensing of these assets, including the potential use of ADC in oncology. On R&D, our two sites in the Netherlands are currently working together to further optimize our Abthena bispecific antibody platform as cross site service leveraging the antibody production and purification capabilities of our site in Utrecht and the analytical expertise of our team in Oss. The optimization will not only streamline the workflow for the bispecific antibody format, but will also facilitate larger production scale of research grade batches for preclinical in vivo proof-of-concept studies. Goals energized as IPA continues to receive more requests from clients, partners and peers, focusing on the unique attributes and targeting capabilities of bispecific therapies. In addition for customers who do not have access to a bispecific platform, our service allows them to generate proof-of-concept prior to in licensing a clinically validated bispecific platform without having any restrictions regarding IP of the generated data. We are pleased to announce that on November 17th, IPA Canada was awarded an Industrial Research Assistance Program grant from the National Research Council of Canada titled Development of a Unique Next Generation End-to-End Antibody Discovery Platform in an ongoing effort to remain industry leaders in single B cell in antibody discovery, the grant will financially support the continuous development of our one of a kind discovery platform through the integration of memory B cell, plasma B cell and repertoire B cell workflows with next-generation sequencing, machine learning and high throughput recombinant protein production. For our PolyTope’s SARS-CoV-2 program we entered into the final stage of preclinical work. IND enabling safety studies, which were reviewed by the FDA were initiated and the first round of data is available. Initial observation from the rat dose escalation study revealed no clinical signs of toxicity and mortality after administration of dose levels with a ten-fold higher concentration as anticipated for clinical application. In addition, no deviating body temperatures were measured during post-dosing observation. The full dose escalation study report is expected to be available later this month. In parallel, we are in contact with the FDA to fine tune our first in-human study protocol, in line with our workflow, but also as a direct request by the FDA, we are generating tools for screening our antibody cocktail in response to the highly mutated Omicron variant and expect to have those requested data sets available by the end of January. With this, I’d like to turn the call over to Lisa to discuss the quarter’s financial results.
Lisa Helbling: Thank you, Jennifer, and good afternoon, everyone. I’m Lisa Helbling, IPA’s CFO. Unless otherwise noted, all numbers referred to are in Canadian dollars. I will address the quarterly financial results, IPA’s liquidity and then touch upon our year-to-date financial results. As the background, Jennifer mentioned, the company is significantly investing in research and strategically developing a variety of Talem owned therapeutic antibody assets. From an accounting perspective, these investments are expensed rather than capitalized. On revenues, the company achieved revenues of $4,722,000 during the three months ended October 31, 2021, compared to $4,755,000 in 2020, a $33,000 or 0.7% decrease. Product sales for the quarter increased $216,000 driven by a large periodic -- large scale antibody sale and a notable increase in catalog product sales through the company’s recently launched online shop on its website. The CRO project revenue decrease $252,000 on a year-over-year basis for the three month period. As previously reported, during the past eight quarters, the company improved its accounting and financial reporting systems, culminating in a full implementation of a new ERP system NetSuite during its fiscal year 2021. While the system was used for the full year, ended April 30, 2021, its implementation was complicated by travel restrictions due to COVID-19. That, along with implementing new processes and procedures caused the company to miscalculate eliminations of intercompany transactions, primarily related to significant new research and development sales to Talem. This miscalculation caused an immaterial but notable variance in revenues for the first three quarters of last year. The first two quarters of last year had overstated revenues, which were corrected in the third quarter. Taking into account the prior year’s miscalculation, total revenues for the three-month period ended October 31, 2021 would have increase of $633,000 or 15.5% over last year. For those of you interested in more detailed information, you can see the pro forma information in the company’s MD&A summary of quarterly results. The company’s gross profit was $2.6 million, with a 55% gross profit margin, compared to $2.8 million and a 59% gross profit margin in 2020, a $214,000 gross profit decrease. With the implementation of the new ERP system, the company has improved its method of allocating overhead cost from expense to cost of sales. A reminder, the overhead allocation does not impact total expenses, it moves operating expenses from the expense section on the P&L to cost of sales. With this new method, we expect gross profit margin to be lower going forward. The company’s operating expenses for the first quarter were $7.3 million, compared to $5.1 million in 2020, an increase of $2.2 million. There were four expense variances of over $100,000 that primarily make up the increase. I’ll discuss these in order of the largest expense. Research and development expense increased $2.8 million from $1 million in 2020, due to the strategic investments the company is undertaking in research and development of its Talem owned therapeutic antibody assets. The company’s insurance costs increased $400 -- to $480,000 from $61,000 in 2020, primarily due to higher D&O premiums related to being listed on NASDAQ. Share based payment expense was $689,000, compared to $477,000 in 2020. The increase in expense relates to additional options being granted that are expensed over the vesting period. The stock option plan is aimed to align employees with shareholders and company goals. Finally, salaries and benefits of $1.4 million, compared to $1.5 million in 2020, decreased $129,000. But included in salaries is an increase in expense for director cash compensation, routine pay increases and new strategic leadership roles including the VP of Marketing and a VP of Client Relations. These increases were offset by a reduction in wage expense from the allocation of overhead cost to cost of sales. An example is the allocation of lab employee’s administrative time. Other income or expense, the company recorded other expense of $131,000 for the quarter, compared to other income of $1.9 million in 2020. The primary reason for the $2 million reduction in other income relates to receipt of COVID related grant income of $1.3 million in 2020, compared to nil in 2021, and COVID related subsidy income of $135,000 in 2020, compared to $19,000 in 2021. Finally, interest and other income of $6,000 in 2021, compared to $515,000 in 2020 is a result of the company receiving an expense subsidy from a partner in forgiveness of the U.S. Paycheck Protection Program loan in 2020. Net loss, the company recorded a net loss of $5 million for the quarter, compared to $464,000 in Q2 2020. As can be seen on the net income waterfall graph, the increase loss can be summarized as a result of the company’s investment in research and development activities, increase D&O insurance, a reduction in grant and subsidy income, and a decrease in other income. Before I touch upon adjusted earnings before interest, taxes, depreciation and amortization, EBITDA, I must caution the investor that adjusted EBITDA is a non-IFRS measure and investor should not place undue reliance on adjusted EBITDA. I urge you to read all of the IFRS accounting disclosures presented in the condensed interim consolidated financial statements for the six months ended October 31, 2021 and 2020. Adjusted EBITDA is management’s view of operating earnings, for the three months period ended October 31, 2021, the company’s adjusted EBITDA was a loss of $2.9 million, compared to a gain of $797,000 in 2020, a reduction of $3.7 million, predominantly from investments in research and development, an increase of $1,799,000, increased insurance costs of $419,000 and a decrease in grant and subsidy income of $1,429,000. A few comments about IPA’s liquidity and capital markets activity, on October 13th, the company established an aftermarket equity offering facility, which entitles the company at its discretion and from time-to-time during the term of the ATM agreement to sell through its agent H.C. Wainwright & Co. common shares of the company having an aggregate gross sales price of up to US$50 million. The common shares will be distributed in negotiated transactions at market prices prevailing at the time of sale. As such, the prices may vary between purchases over time. The company is not required to sell any common shares at this time during the term of the facility and sales will be made directly on NASDAQ global market, no sales of common shares will be made in Canada on the TSXV. On October 31, 2021, and as of today, US$50 million of the company’s stock remains available for sale under the ATM facility. As of October 31, 2021, the company held cash of $38.4 million and have working capital of $36.4 million. During the first quarter, the cash used in operating activities was $2,977,000. As part of the investing activities, the company made equipment purchases of $451,000. As part of financing activities, the company received $337,000 from issuing common stock and made lease payments of $465,000. I’ll now turn my attention to the year-to-date financial results. The company achieved revenues of $9.3 million during the six months ended October 31, 2021, a 9.3% increase from the same period last year. Similar to my comments for the quarter, the previous year’s miscalculation of the elimination of intercompany revenues overstated revenues during the first six months of last year by $949,000. If this had not occurred, revenues would have been lower for the first six months of October 31, 2020 and the pro forma increase in revenues for the six months ended October 31, 2021 would have been 23%. The increasing revenue trend continues due to an increase in the average financial value of its projects, primarily in the B cell select platform. Gross profit totaled $5.1 million during the six months ended October 31, 2021, compared to $5.2 million last year, with gross profit margin of 55% for 2021 and 61% for 2020. The difference in gross profit margin is similar to the three-month period related to the improved systematic allocation of overhead costs to cost of sales this year. Expenses for the six months of the year were up $4.8 million, most notably related to investments in research and development for the Talem owned therapeutic antibody assets. Non-cash share-based payment expense related to granting stock options to employee to align employees with company and shareholder goals. These options are expensed over the vesting period. And cost associated with the company’s growth strategies such as D&O insurance from being listed on NASDAQ and professional and consulting fees. Other income is lower than prior year by $2.2 million, primarily related to last year when the company received COVID-related grant income and government and partner subsidies. This last visual was a waterfall graph, summarizing the change of net loss year-over-year. Last year, the company had a net loss of $1 million, compared to $8.2 million through the six-month period ended October 31, 2021. The primary changes include, $2.6 million expense related to investments in research and development of Talem owned therapeutic antibody assets, $1.1 million in D&O insurance and professional and consulting fees to support the company’s strategies and compliance, $1.2 million in non-cash share-based payment expense related to stock options, and $2.1 million lower grant and subsidy income in the current year, and $200,000 made up of other smaller differences. With that, I’ll turn the call back over to Chris and Jennifer for Q&A.
A - Chris Chu: Thanks, Lisa. Before Jennifer adds any closing remarks, I would like to spend a little time asking some of the questions that we received from analysts and investors. For the first question, on the prior earnings call, you announced you received additional funding from TRANSVAC2 to conduct additional preclinical studies for the SARS-CoV-2 vaccine program with LiteVax. When will the studies occur and when is data expected?
Dr. Jennifer Bath: Thank you, Chris. For those of you not familiar with the previous study, IPA had received previous funding from TRANSVAC2 to conduct an immunogenicity study using an IPA proprietary immunogen mixture that was combined with an adjuvant from a company named LiteVax, with the aim to expose the immune system to epitopes relevant to the original strain of SARS-CoV-2 and to several variants of concern. That study demonstrated significant antibody responses and then based on those findings, TRANSVAC2 agree to fund further studies to determine it functional immunogenicity, and if that could also be generated and if so, agreed to the further commit to funding a follow-up vaccination challenge study in Syrian hamsters to accelerate proof-of-concept for further development. So regarding our collaborative vaccine with LiteVax, we did recently finalize the CRM reactivity screening of the second immunogenicity study in pigs funded through TRANSVAC2. We are encouraged by the data showing that our proprietary immunogen mixture combined with LiteVax’s adjuvant CMS was similarly immunogenic in swine as a clinical stage benchmark vaccine protein that was using the same adjuvant. If upcoming studies supported by CP are able to verify that the serum reactivity includes virus neutralizing immune responses, then TRANSVAC will also grant a subsequent efficacy study in SARS-CoV-2 challenged hamsters.
Chris Chu: Next, we’ve not had an update on Twist or Genmab collaborations in a while. Where are we are those collabs?
Dr. Jennifer Bath: Yeah. Good question. So regarding those collaborations, we did provide an update on the Twist collaboration during this earnings call. For Genmab, one can see from our general updates on the Talem website that this program has now completed in vivo animal studies. However, we are waiting approval from Genmab to share more details on this collaborative program. So that’s all we’re able to provide today until we have their permission.
Chris Chu: And today, the University of Victoria made public a poster about the IPA COVID saliva test that seems ready for trials. Can you elaborate on the timeline for future trials and commercialization?
Dr. Jennifer Bath: Sure. So, while we do agree with others that the results that were presented on the poster from UVic, and the presentation are very encouraging, we understand from UVic, that they have the COVID saliva test system cued with a third-party in Canada, and it’s awaiting validation with the human sample. The timelines, the direction and the level of IPS involvement in the program will be largely dependent upon the outcome of those tests.
Chris Chu: And regarding the Pierre Fabre collaboration, what is the timeline and when do you expect the first update and how many resources or how much would focus that take for APA -- IPA?
Dr. Jennifer Bath: We’ve heard that question a few times here in the last week. So we’re really happy to shine a little light on this. So the research collaboration agreement with Pierre Fabre, which was executed early in October, now has the first therapeutic target selected by Pierre Fabre and the two groups have created a joint research committee, which anticipates finalizing the work plan this month and then commencing the laboratory work in the New Year. So, obviously, with any research program, there’s different levels of information or data that come off, we’re really looking at the first critical data results, in terms of something that would enable Pierre Fabre to make something along the lines of a go no, go decision and we expect those results next summer. The collaborative programs with regard to intensity, they’re not any more resource intensive than the other large therapeutic antibody campaigns that IPA does for its clients or for its partners. And I think that’s actually a good reminder of the distinctive advantage that Talem has over other pipeline companies, as the work performed internally is not only under our control and at cost, but also performed in our facilities where we conduct over 60 discovery programs annually and with continual capacity and workflow assessment.
Chris Chu: Great. And the last question for today’s conference call, does Omicron lead to any changes in timelines or increased interest from potential partners?
Dr. Jennifer Bath: Okay. So, although, we will, as we mentioned earlier in the presentation, seek empirical data to support our expectations. Based on the computational analyses that we have done, we’re quite optimistic that our development timelines for TATX will not be negatively impacted by Omicron. So as we laid previously, a very recent publication showed that a significant percentage of clinically -- clinical stage SARS-CoV-2 neutralizing antibodies are actually escaped by Omicron, which urges the need for a multi-targeting approach even more and directly demonstrates the advantages of IPA’s PolyTope approach. In that respect, the clear interest of the FDA and the neutralization behavior of N stage preclinical products toward the Omicron variant is really encouraging.
Chris Chu: Great. And with that, we thank you for submitting your thoughtful and concise questions today. We hope they were answered either in our script and the Q&A or in the MDA. I will now move on to closing remarks with some insights into the current fiscal year and strategic planning. Jennifer?
Dr. Jennifer Bath: Sure. Thank you, Chris. So, first and foremost, we’d like to thank our employees, our customers, our partners, and of course, our shareholders for continuing on this exciting journey with IPA. And we’re truly appreciative of the hard work and the patience and the strength that has been put on display in order to advance IPA’s mission and critical goals. I’ll be the first to say that the execution pathway that we have planned won’t have its own unique set of challenges along every step of the way. However, as we noted earlier, in today’s call, the evolutionary pressures that are actively transforming the biotherapeutic space has served to inform our decisions that IPA from the very start of this journey. Our progress and success is continue to ramp despite the fact that we are still in our early days of scaling the critical infrastructure that will not only allow us to compete and win new business, but also to clear a pathway for new resources and new sources of revenue generation, at an accelerated pace as we close in on its critical mass. We’ve assembled a global footprint to tackle new business at scale, and we now have the necessary sales and marketing leadership to broaden our customer base. We also continue to add to our repertoire of technologies under one roof as an industry leader in antibody discovery and manufacturing. With Talem we are developing wholly own proprietary assets and are excited to see our first potential in-human trial of an in-house discovery candidate continue to progress. As intended, we have taken command of our own future in developing these assets will -- which will provide us with the broadest monetization opportunities for the IP that we produce for years to come. Thank you and have a great rest of your day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.